Operator: Good day, and welcome to the Unum Group Second Quarter 2020 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Tom White, Investor Relations. Please go ahead, sir.
Tom White: Great. Thank you, Jonathan. Good morning, everyone, and welcome to the second quarter 2020 earnings conference call for Unum. Our remarks today will include forward-looking statements, which are statements that are not of current or historical fact. As a result, actual results might differ materially from results suggested by these forward-looking statements. Information concerning factors that could cause results to differ appears in our filings with the Securities and Exchange Commission and are also located in the sections titled Cautionary statement regarding forward-looking statements and Risk factors in our annual report on Form 10-K for the fiscal year ended December 31, 2019, and our subsequent Form-10Q filings. Our SEC filings can be found in the Investors section of our website at unum.com. I remind you that statements in today's call speak only as the date they are made, and we undertake no obligation to publicly update or revise any forward-looking statements. In the presentation of the most directly comparable GAAP measures and reconciliations of any non-GAAP financial measures included in today's presentation can be found in our statistical supplement on our website also in the Investors section. So yesterday afternoon, Unum reported second quarter 2020 net income of $265.5 million or $1.30 per diluted common share, compared to $281.2 million or $1.33 per diluted common share in the second quarter of 2019. Net income for the second quarter of 2020 included a net after-tax realized investment gains of $25.4 million and an after-tax impairment loss of $10 million on the right-of-use asset related to one our operating leases on an office building we do not plan to continue to occupy. Net income in the second quarter of 2019 included a net after-tax realized investment loss of $5.7 million. As a reminder, net realized investment gains and losses include changes in the fair value of an embedded derivative and a modified coinsurance arrangement, which resulted in an after-tax realized gain of $33.1 million in the second quarter of 2020 and an after-tax realized investment loss of $600,000 in the year ago quarter. Therefore, the net after-tax realized investment loss from sales and credit losses totaled $7.7 million in the second quarter of 2020. So excluding these items, after-tax adjusted operating income in the second quarter of 2020 was $250.1 million or $1.23 per diluted common share, compared to $286.9 million or $1.36 per diluted common share in the year ago quarter. Participating in this morning's conference call are Unum's President and CEO, Rick McKenney; the Chief Financial Officer, Steve Zabel; and Chief Operating Officer, Mike Simonds; as well as Peter O'Donnell, who heads our Unum international business, and Tim Arnold, who heads our Colonial Life and Voluntary Benefits businesses. And now, I'll turn the call over to Rick for his opening comments. Rick?
Rick McKenney: Thank you, Tom, and good day, everyone. I'd like to thank you all for joining us today on our second quarter earnings call. Despite the many challenges brought on by the COVID-19 pandemic, the corresponding sharp economic downturn and the resulting upheaval and unemployment conditions and workplace environments, we produce solid financial results in the second quarter. The operating trends we experienced were generally consistent with the expectations we discussed in the first quarter. However, the magnitude of the pluses and minuses was different than expected, particularly with mortality trends. We will outline these impacts as well as other COVID-related impacts on the business in greater detail throughout our commentary today. Before I get into the discussion of the results, I want to express how proud I am of the hard work and dedication of our teams over these past several months through this difficult time. Our teams are feeling challenged and uncertainty in their own lives, but their efforts to support our customers, communities as well as each other through this time has been exceptional. We have remained true to our purpose of helping people thrive throughout life's moments. And what we are witnessing today is amplify the need for what we do. We are also focused on the disciplined execution of our business plans and adapting to our changing world. We are operating very well in a largely work from home setting with high customer satisfaction and solid productivity. In this environment, we continue to be well prepared to navigate through a variety of economic scenarios. The entire set of circumstances we face today reinforces the need for our core business of providing affordable and accessible financial protection products to individuals and their families through the work site. The fragility of many Americans financial lives has never been more obvious than what we're experiencing today. Our focus on delivering great social value remains paramount. It ranges from supporting a family with a loss of a loved one to helping America's workers with short-term disability to many other needs created by this pandemic. It is why we are here. If we turn to the totality of our second quarter financial results, we were pleased with the overall performance this quarter in the wake of the stressful conditions in the business environment. Adjusted operating earnings per share were $1.23, which is down from the $1.36 of the year ago second quarter, but was solid overall given the headwinds of the market. We experienced more volatility within our segment results than usual, and we'll walk you through the details throughout our commentary. Starting with our top line, we continued to see growth in premiums which were up 1.7%, while underlying business origination was more mixed. When you think of our business growth, we think first of customers that are staying with us because of the value of the protections we provide. This is even more true in the midst of the pandemic. Persistency levels are holding up well so far this year with only modest impacts currently. It is reasonable to expect that persistency will be further pressured in the second half of the year as the effects of lower unemployment – lower employment levels flow through our blocks, particularly in our voluntary benefits businesses. Sales trends showed varying levels of impact depending on the distribution model, size of customer and product and services set. Unum U.S. total sales declined just under 3%. International sales increased just over 1%, while Colonial Life sales declined 43% reflecting the challenges of face-to-face sales. These trends were consistent with our expectations as cases with large companies perform better than smaller businesses and group-wise performed better than the voluntary lines. We expect premium income for our core business segments to be flat to a slight increase for full year 2020, after increasing just over 2% in the first half. From a benefits perspective, clearly mortality impacts are the biggest variable on people's minds. When the pandemic started, it was believed to impact older ages, much more severely, which meant the belief was that group carriers such as us would see less claims as the working population skews younger. In fact, what we saw was that death rates were similar to our overall non-COVID age distribution, negatively affecting our U.S. group life block and our other life insurance blocks within our voluntary benefits businesses and the UK. On the other hand, higher mortality drove significantly higher claim terminations in the long-term care block resulting in the interest adjusted loss ratio of 67%, which is well below historical trends. Steve will provide more detail in his comments, but our experience was generally consistent with the trends for mortality as published in national studies. Beyond these outsized mortality impacts experienced this quarter, we saw several other less severe anomalies in our benefits trends resulting from the pandemic, which touched every part of the company. In the UK, disability results continue to be challenged by the limitations we are experiencing in accessing the healthcare system to get the information we need to adjudicate and settle claims and return claimants to work. Within Unum U.S., our growing leave management business experienced higher volumes, which drove higher expenses and dampened profitability in the group disability line. Our dental businesses, on the other hand, benefited from unusually low utilization rates, producing favorable operating income for Unum U.S. supplemental and voluntary. And within the group disability line, newly submitted long-term disability claims were slightly higher, but with strong claim recoveries and favorable short-term disability trends, we experienced favorable risk performance in the Unum U.S. group disability loss ratio. On our investment portfolio, we saw a very dramatic improvement in the credit markets in the second quarter, as the Fed became heavily involved in bringing new forms of stimulus to aid the economy and the purchase of debt securities.  Combined with improved oil prices, we saw reduced credit losses, much lower ratings migration, and a sharply improved net unrealized gain position in our fixed income portfolio relative to the first quarter. So far, we are tracking favorably to the credit scenario we laid out in the first quarter. On the other hand, Fed actions in a more difficult economy have pushed the interest rates to low levels. So in the world of tightening credit spreads and low government rates, ongoing pressure to new money yields is creating a challenging environment to put money to work for our team. When we bring it all together, we saw excellent statutory earnings generated again this quarter, which has been true for the first half of the year. Our capital metrics remain solid with RBC at approximately 370% and holding company cash at $1.6 billion. The results this quarter demonstrate the resilience of the franchise and underscore the disciplined approach we take to operating the business, while bringing good value to our customers. Now, I'll ask Steve to cover the details of the second quarter results, Steve?
Steve Zabel: Great. Thank you, Rick, and good morning, everyone. This morning I want to cover second quarter results in greater detail with you, and while doing so, give you some insights into what impacts we're seeing from the current business environment and how they could play out in the third quarter. I'll also discuss what trends we're seeing in the investment portfolio and the impacts we see it having on our capital position. To reiterate Rick's comments, we are pleased with the overall results for the second quarter. There was more volatility than we normally see in our segment results, but the fact that overall results remain solid and our statutory results were very good, speaks to the balance of our business mix and the focus we have maintained on discipline in all aspects of managing the company. Looking at the quarter from a high level perspective, I want to start with a summary of what we estimate the COVID-19 and related impacts were on our second quarter results. To be clear, these are our best estimates as we do not always know that a claim is directly tied to COVID, but this is intended to give you our best approximation of the impacts. I'll break the impacts into three categories, starting with impacts to claims experience. We estimate the COVID produced and that unfavorable impact to our claims experience of between $12 million and $16 million with the biggest unfavorable impacts occurring within Unum U.S. group life, the overall Unum UK results and the Closed Disability block. We did experience favorable financial impacts in the dental and long-term care blocks which I'll describe in a moment. The second category covers impacts to net investment income and the investment portfolio, which we estimate in the range of $24 million to $28 million unfavorable. The larger items were the mark on our alternative asset investment portfolio and the valuation of hybrid securities, which I'll detail in the Closed Block discussion. The third category is expenses, which relates primarily to higher expenses in our leave services business driven by higher utilization of those services. In all, these items produced an unfavorable impact in the high $40 million to $50 million range on a before tax basis for the second quarter. Although there was an unfavorable impact to sales and persistency, it is more difficult to quantify the current quarter impact on earnings. With that said, I'll start my discussion with Unum U.S. Adjusted operating income declined 9% to $231.9 million, primarily reflecting adverse mortality impacts from COVID-19 on the group life’s business along with higher expenses in our leave management operation. This offset favorable benefits experience in the group disability line and strong earnings growth in the supplemental and voluntary lines of business. Premium growth for Unum U.S. in the second quarter was 1.2% year-over-year, which is a slightly lower trend than we've seen in recent quarters. The current sales environment remains challenging declining by 2.9% in total for the segment. As we expected, we thought better sales results in the large case market for group products with those sales advancing 9.5% compared to a decline of 3.6% for sales of core market group products using 2,000 lives as a dividing line. In the Large Case segment, we continue to experience success, selling packaged products with HR Connect, which is a secure connection between Unum and select employer HCM systems that automates many time consuming HR activities. Persistency in Unum U.S. was generally lower year-over-year that we did see a slight increase in voluntary benefits. Persistency levels and new sales activity will continue to be watch areas as we navigate the volatile employment trends in coming quarters. Claims trends for Unum U.S. showed a wide range of results in the second quarter, but the benefit ratio for this segment was generally consistent year-over-year at 68.1%, compared to 67.6% in the year-ago quarter, reflecting our broad diversification within the employee benefits market.  The group disability line continue to show strong performance producing an improved benefit ratio of 72.8% in the quarter compared to 74.7% last year, driven by strong claim recoveries. This was offset by a higher submitted claim incidents, although the recent trend in paid claims has been more favorable. Within the supplemental and voluntary lines, both the individual disability and voluntary benefit lines showed consistent trends year-over-year. While the dental and vision line benefited from a sharp decline in utilization due to COVID-19. This pushed the benefit ratio significantly lower to 36% from 71.6% last year. We are already seeing a utilization – already seen utilization returned to more normal levels for dental and vision and expect the benefit ratio to increase, but remain volatile as a pandemic continues to play out. The leave management business, which has reported within the group disability line experienced significantly higher volumes related to COVID-19 driving higher expenses for that line, which negatively impacted earnings. The Group Life and AD&D line had a sharp decline in adjusted operating income to $19.4 million in the quarter from $62.7 million a year ago, as the benefit ratio increased significantly to 81.8% in the quarter from last year’s 72.9%, predominantly driven by COVID-19 related mortality. We experienced an increase in the number of paid claims this quarter by approximately 12% or slightly over 900 excess claims along with an increase in the average claim side by approximately 7%. In addition, at the end of the second quarter, we estimated an additional number of incurred, but not reported COVID claims leading to an increase in the IBNR reserve balance for Group Life of $7 million. To put this into perspective, the total impact of the quarter was approximately 1,100 excess life claims above our quarterly average, which is slightly less than 1% of the approximately 120,000 COVID-19 deaths reported by Johns Hopkins in the second quarter. Our experience track national trends closely throughout the second quarter with higher claims reporting from the New York and New Jersey Metro Area early in the quarter, and the later skewing more to the South and Midwest in the second half of the quarter. Overall, despite the volatility was a good quarter for Unum U.S., looking ahead, third quarter claims trends will likely continue to be volatile as a pandemic continues the likely less than what we experienced this quarter. Given the recent trend in COVID-related mortality, we expect Group Life claims to remain elevated in the third quarter and recommend that you follow the mortality data provided by Johns Hopkins to get a sense for how our claims experience may evolve. Finally, we are already seeing a return to more normal utilization in the dental block. The Colonial Life segment produced very good earnings this quarter with adjusted operating earnings of $90.9 million, an increase of 7.7% over the year-ago quarter. Premium income increased 4.2% as persistency held up well offsetting the decline we are seeing in new sales activity. This quarter, new sales declined by 43% reflecting the challenges of selling and enrolling and what is traditionally been a face-to-face sales environment. The benefit ratio is slightly lower at 50.7% compared to 51.4% a year ago, as improved results in accident, sickness, and disability and cancer and critical illness offset the incrementally higher mortality we experienced in the business. Overall, it was a good earnings quarter for Colonial Life, but we're likely to see further pressure on top line growth from the pandemic until sales activity recovers. We anticipate some rebound in third quarter sales though it will continue to remain pressure relative to the year-ago quarter. We believe that the investments we've been making in digital capabilities to support growth and improve productivity will benefit us in this environment. We are excited to see increase utilization of these new tools by our agency force. In addition, we will likely see further pressure on persistency in the coming quarters, given the volatility and employment conditions and pressure on small businesses.  Results in our Unum International segment remain weak this quarter with adjusted operating income of $15.1 million compared to $30.7 million a year ago. We continue to have challenges in getting the necessary documentation and certifications for claim assessments and terminations given the disruption in our customers' workplaces and the overburden healthcare system in the UK from COVID-19. While we did see some improvement at the end of the second quarter, this trend continued to pressure results in the group disability line. Additionally, like our U.S. Group Life trends, we experienced higher mortality in the UK group life block, which represents a little less than 20% of the overall UK business. Premium income, however, did increase in both Unum UK up 1.9% and Unum Poland up 11.1%, both in local currency. Financial results from our Poland operation were very good again this quarter with a strong year-over-year increase in adjusted operating income. Looking forward, economic conditions in the UK are expected to remain pressured by the COVID-19 pandemic, the ongoing Brexit negotiations and the low interest rate environment creating significant headwinds for the UK business. Business trends in June were more favorable than April and May as we are beginning to see some improvement in the information flow necessary to produce claim recoveries. However, a full recovery may be slow and is not expected until there is increased confidence that the health aspects of the pandemic are under control and that the economy will rebound.  The Closed Block segment produced a very good quarter with adjusted operating income increasing almost 9% to $36.7 million. I'll discuss the operating trends of the LTC and Closed Block Disability in just a minute. But first let me walk through some of the factors impacting that investment income, which is an important driver of results in the segment. In total, net investment income for the Closed Block segment declined 8% in the second quarter to $326.3 million. As we have discussed with you in the past, we allocate most of our alternative investments to this segment as we feel that over time these investments can generate higher returns, which are important in supporting the LTC line. Along with these higher potential returns over the long-term volatility in quarterly investment income, that was evidenced this quarter with a negative market value adjustment on these investments of $31.3 million reflecting market values at March 31, which are reported on a lagged basis. To put this in perspective, in 2019, we reported average quarterly positive marks of approximately $8 million a quarter. So this was a significant negative variance from historical results. With the second quarter recovery in financial markets, we do expect the evaluation from any of these investments has also improved and will be reflected in our third quarter reporting. We do not expect, however, a full recovery in the third quarter, but do expect them to fully recover over time and generate our assumed returns. Second item to note regarding investment income for the Closed Block are the marks on two perpetual preferred securities that are mark-to-market quarterly and reported through net investment income, not as a part of realized investment gains or losses. These are energy related investments and both rebounded strongly in the second quarter with the recovery in oil prices. Therefore, there is a positive market value adjustment of $10 million in the second quarter compared to the $17 million negative adjustment in the first quarter. Aside from these impacts, the net investment income, the long-term care line within the Closed Block had an exceptionally positive quarter. The second quarter interest adjusted loss ratio dropped to 67% bringing the rolling four quarters ratio to 81.1% well below the expected range of 85% to 90%. The favorable results were primarily driven by elevated claim mortality, which was approximately 30% higher than average this quarter. Higher mortality was not evident this quarter in the active lives block, but we continue to closely monitor that experience. New claim incidents for LTC was also favorable this quarter driven in part, we believe by the hesitancy of many to inter nursing homes or assisted living facilities or receive home care because of the pandemic.  Given the uncertainty of the timing of future claim filings as a result of the pandemic, we did increase the incurred, but not recorded reserve for long-term care by an incremental $20 million in the quarter. In addition, we decreased our near-term mortality assumption in our best estimate claim reserve. We believe this will take into account potential acceleration of mortality and our claim of population.  Looking out to the third quarter, we expect mortality in the claimant block to remain elevated, though not at second quarter levels. Also related to LTC, we made further progress this quarter with several new rate increase approvals on in-force business and now we're at 65% of our $1.4 billion reserve assumption. The Closed Disability Block experience an increase in the interest adjusted loss ratio to 89.5% in the quarter from 81.3% a year ago, driven primarily by higher submitted incidents, new claims submissions, which we attributed in part to COVID-19 and related to economic impacts were heavy in the early part of the second quarter, but they did return to more normal levels later in the quarter; Mortality did not have a meaningful impact on Closed Disability results this quarter. I'd like to now turn to a discussion, the investment portfolio, which showed a dramatic recovery from the first quarter, given the recovery in the financial markets. A few points to highlight our first net after-tax realized investment losses from sales and credit losses declined to $7.7 million in the second quarter from $44.4 million in the first quarter of this year. Second, downgrades of investment grade securities, the high yield totaled $193 million for the second quarter compared to $336 million in the first quarter. You'll recall we previously referenced $119 million of downgrades that occurred in April. So the activity in May and June declined significantly. The increase in second quarter downgrades created a minimal $11 million increase to require capital, which impacted the second quarter RBC ratio by only one point. And then third, the net unrealized gain position on the fixed maturity securities portfolio improved to $7.4 billion in the second quarter from $4.3 billion at the end of the first quarter. Within that, the energy holdings, which totaled 9.2% of our fixed maturity securities moved to a net unrealized gains position of $437 million from a net unrealized loss of $350 million, a significant improvement in values due to spread tightening, given the recovery in economic and oil prices. In the first quarter, we outlined investment credit scenario for defaults and downgrades of investment grade securities to high yield for 2020 that assumed as a base case $85 million of defaults and $1.6 billion of downgrades. We are tracking favorably to this scenario and have refreshed our view of our portfolio on a credit by credit basis. Our capital forecast now includes $70 million of defaults and $1.3 billion of downgrades in 2020, including what we have already experienced. We will monitor our investment portfolio and realize there is continued uncertainty in the markets for the remainder of the year, but are optimistic that the portfolio will outperform these planning assumptions. Even with this scenario, we still expect to meet our capital metric targets for risk-based capital and holding company liquidity throughout 2020. Looking to our capital position, we've finished the second quarter in very good shape with the risk-based capital ratio for our traditional U.S. insurance companies at approximately 370%, above the 350% targeted level and holding company cash at $1.6 billion. We target maintaining holding company cash at greater than one times our fixed obligations, which is approximately $400 million. During the second quarter, we issued $500 million of debt. And as a reminder, we have a $400 million debt maturity in September. Beyond this upcoming maturity, the next maturity is not until 2024. In addition, an important driver of our capital position is after tax statutory operating earnings in our traditional U.S. insurance companies, which were quite strong again in the second quarter totaling $327 million compared to $278 million in the year-ago quarter. Now, I'll turn the call back to Rick for his closing comments and look forward to your questions.
Rick McKenney: Thank you, Steve, for that summary of our second quarter. I would reiterate that in a very tough environment that the team and the strength of franchise have responded. We entered the second half of the year recognizing the challenges of a pandemic persists, but we have been adapting well and continue to stay focused on serving our customers well. The team is here to respond to your questions. So I'll ask Jonathan to begin the question-and-answer session.
Operator: Thank you. [Operator Instructions] We'll take our first question from Humphrey Lee with Dowling & Partners.
Humphrey Lee: Good morning and thank you for taking my questions. 
Rick McKenney: Hi, Humphrey.
Humphrey Lee: My first question is related to the earnings power for U.S. group visibility. I think, Steve, you talked about the high expenses in the quarter for leave management because of activities. But if I were to look at it from a trailing 12-month basis, the earnings is still down 6% year-over-year, even though the underwriting margin actually has grown by 12%. So I understand the lower earned yield and the asset level has resulted in lower net investment income, but the growth in underwriting margin more than covered that. So I guess at this point is, the leave management is a drag to U.S. group visibility because of the investment or is it something else? Like what is your expectation for the leave management business from an earnings contribution perspective? And when do you expect U.S. group visibility to be back on a positive growth trajectory?
Rick McKenney: Okay, Humphrey, a lot in there. So we'll try to unpack it a little bit. Maybe we'll start with Steve to talk a little bit about the dynamics and then Mike will talk a little bit more leave as well.
Steve Zabel: Yes. So I'll just – thanks, Humphrey. I'll just start out by just talking about the benefits experience that we've seen in group disability. When you look at long-term disability, we were very happy with the performance in the second quarter. And we continue to see very good recovery rates. We did start to see some increase in our submitted claims, but actually have seen very normalized experience in our paid claims. So we feel pretty good about how that business is performing in the current environment. As it relates to short-term disability, we also feel good about the quarter. We did see an elevation of claims that are COVID related. But we did see a decrease in non-COVID related short-term disability claims in the quarter and they were largely offsetting. So overall the earnings look very good. I'll kick it over to Mike to talk a little bit about our leave management business and just the dynamics there.
Mike Simonds: Thanks, Steve, appreciate it. And good morning, Humphrey. So the leave management business experienced a pretty significant spike here in the second quarter, COVID related. I think about volumes increasing about 50% in the second quarter over the prior year quarter. And while that did absolutely put additional expense pressure on us. As Rick teed up, this is what we're here for. And we were able to meet that demand in a very high quality way, a couple of points strategically about the leave business, stepping back. We only sell the services in combination with insured lines of business, and we really think about making sure that it's a sustainable economic relationship across both insured and services. And then you look at a mid to high teens, we feel very good about that.  Strategically, it is actually a very good business for us in that it puts us front and center with our HR clientele and with the front-line employee base. And so that's something that I think is going to bear fruit for us over time.  And the last thing is, in addition to the volumes, we are investing significantly in terms of technology. And when you think about our digital agenda, which is broad at Unum, this is the number one priority because of the strategic importance and because of how we bundle it with other lines. So I think you've correctly identified the expense pressure, but these are I think moments to be there for our clients and investments that I think are going to generate good returns for us over time.
Humphrey Lee: And I understand the synergy between our kind of risk business and the leave management. But if you were to look at it in isolation, like is it fair to say right now, leave management is a cost center? And do you expect that to be an earnings contributor down the road?
Mike Simonds: Yes, thank. I think certainly in the current environment we’re not collecting fees commensurate with the expense. So it's a slight loss. That's as much due to the incidence and how much lead volume we're seeing coming in. But our plans are particularly on the back of those investments to continue to improve the efficiency and as we grow the top line how this will be a contributor.
Rick McKenney: I think as Mike said this is a very important strategic piece of the operation so we’ll continue investing. And so you may not see it turn the corner in terms of being a profit generator, but the integrated part of the offering, I think, is critical as we look to the future.
Humphrey Lee: I guess in terms of these kind of investments for lease management what innings are you in right now? Because like for the past several quarters have been a drag on earnings growth for U.S. disability. So when should – like, I guess, like when should we start to see that turning in the corner?
Mike Simonds: Yes, I think, it’s Mike again, I would say for the balance of the year and before we start to see COVID infection rate stabilize and come down in the U.S. we’re going to continue to see elevated operating expense pressure, I would think, over the coming four quarters or so in terms of the pace of investment in business. But, as Rick said, while it may be a bit lumpy right now, in terms of the pace of investment, we're going to continue to invest in the business going forward and well, beyond that.
Humphrey Lee: Got it. Thank you.
Rick McKenney: Thanks Robert.
Operator: Thank you. [Operator Instructions] We will take our next question from Ryan Krueger of KBW.
Ryan Krueger: Hi, good morning. Can you provide some additional color on persistency trends you're seeing across the businesses and your expectations in the back half of the year? And I guess it’s related to that, have you been doing anything like great periods on premium payments in any of the businesses that I guess had any impact so far?
Rick McKenney: Yes I’ll take that part. There’s multiple products dealing with it differently in customers. So maybe we'll start on the U.S. group side. 
Mike Simonds: Yes thanks it’s Mike good morning Ryan so I’ll hit some of the group lines and then flip to Tim, who can cover voluntary and then, I think, Peter, will have a couple of comments on the international business. And you think about persistency broadly, I feel good about the results that we’ve achieved across all the lines of business, but certainly within group insurance, I'd say, at the margin, certainly working with clients on a one on one basis, as they are dealing with challenges in their business, we want to make sure that we're appropriately flexible and there with them.  I think the bigger impact in the quarter are the state level grace period extensions by mandate. And those went into place relatively quickly early in the quarter, and then have kind of begun to roll off. And by the time we are sort of through this month of July, we'd expect that about 85% of the group book will have come out from under the state mandated hold orders. That may put some degree of additional pressure on persistency as late notices do start going out that have been held up. But actually our experience as states have hit on the group insurance side has been – it's actually been a good instigator for getting premium in house. So steady as you go is I would say on the group insurance side. Tim, on voluntary? I think you are on mute Tim.
Tim Arnold: Sorry, Mike. Thanks Ryan for the question. The only thing I would add to Mike's comments is that we believe that – I’d say we're encouraged by what we're seeing so far with persistency. We've had our account management teams reaching out to clients who have passed through premium and we're updating our assumptions based on some of those conversations and what we're seeing in our models. And we are cautiously optimistic we recognize there will be pressure over the balance of the year, but we're a little bit more optimistic than we were a quarter ago.
Mike Simonds: Peter, any thoughts on International?
Rick McKenney: Yes, thanks Mike. So on the International side Tim, Poland consistency has being tremendously strong actually. Although sales have dipped a bit, premiums are growing very nicely, mainly as we see the business very sticky there. So that's excellent. In the UK we do expect to see – we have expected and are expecting to see persistency trend down. And really that's a combination of employers coming under a bit of pressure. We are continuing push rates. So we expect to see it to be little bit lower than it was last year.
Ryan Krueger: Thank you. And then I just had a quick follow-up separate. But how did the new money rates come in, I guess, in the quarter for LTC relative to your expectation.
Steve Zabel: Yes, Ryan, it's Steve. I'll take on that. I would say if you go back to when we reset our reserve assumptions, I guess, it's been close to two years now. We put in a new money rate behind the LTC book that was 550, grading up to 625 over several years. I would say we have been able to achieve that rate cumulatively up to this point. And feel pretty good about what we've been able to do clearly in the current environment. You know that will be a challenge going forward as we look to regression to the 625. But that's something we'll continue to monitor and just see how rates progress over the next couple of years. But for the quarter we continue to be able to achieve that rate. And a lot of it is through, as we mentioned earlier, investing in some of our alternative asset portfolio alternatives.
Ryan Krueger: Got it. Thank you.
Steve Zabel: Thanks Ryan.
Operator: Thank you. We'll take our next question from Tom Gallagher with Evercore.
Tom Gallagher: Good morning. Just a question on the net COVID impact of $12 million to $16 million that you cited this quarter, when you consider the puts and takes heading into 3Q, how would you see that playing out? Would you still expect that to be kind of a similar net negative amount, or how would you see that changing?
Steve Zabel: Yes, Tom good morning, this is Steve. I'm not going to give a number, but let me just give it a framework to kind of think about it on a product by product basis. And I'll start with group life, and the pressure that we saw there in the second quarter. In my comments I mentioned that we actually track pretty well with some of the national statistics that are out there specifically if you want to anchor to Johns Hopkins, we track a little under 1% of the national counts. And so for us in the second quarter, that was about 1,100 claims. Our average claim size in the quarter was around 48,000. That's a little bit inflated from what we normally see. But that's probably a construct just to think going into the third quarter what those national statistics look like, and you can probably estimate pretty well what our impact will be. If I look at some of the other variations in quarter, one would be dental. We did see very low utilization play in the quarter that trended back to a more normalized, so I would see dental getting back closer to a more normalized earnings level in the third quarter. I would say in the Closed Block IDI block we did have pressure there. We saw higher incidents that again occurred earlier in the quarter, normalized a little bit more as the quarter progressed. So I would see that loss ratio coming back down to closer to normalized. And then I would say in long-term care, it's just hard to say. As we look at our claimant mortality, which was a big driver, it's hard to really link that to what you are seeing nationally, just because it's so specific to certain facilities, it's specific to a certain age group and also these folks already have co-morbidity. So that one is, I think, a little bit tougher to determine. What we did see though in that block, April mortality was very elevated, May and June continue to be elevated, but maybe not to the same degree. So there might be a little bit of normalization there, but I'd say there's still a lot of uncertainty how that will play out. So that's how we're just kind of thinking about it looking forward. I’d say the other thing is in the UK, we have had pressure on our, long-term disability product there. I think that's going to be a slower recovery. As I mentioned in my remarks, we really need the help that the medical services profession kind of become more focused on what we need from them and just where the UK is within the pandemic that's probably going to be a slower recovery from just a performance perspective there. So, Tom, I can't give you a number, but that's probably just a way to think about the different lines of business.
Tom Gallagher: No, I appreciate it. The pieces are helpful. Just on the LTC incidence would you expect the favorable incidence trends to continue for awhile and just related-ly, are you actually seeing the overall a big drop in the number of LTC claims being submitted, or is it more of a shift out, more to home health care and away from nursing home and assisted living facilities?
Steve Zabel: Yes, I would say it's not a shift. It's a decrease in the absolute submitted claim counts that we're seeing. They are down about 15% from what we would normally see regardless of location. As far as that continuing, I think, it will continue. The question is to what degree, and again, I think, that will just be based upon people's comfort to go into facilities. And I do think just the logic would follow that we would probably see that emerge more with home health care. First, I think, people would be more comfortable with that than maybe going into facilities, but that's still a real unknown for us. I would say I mentioned in my remarks, we do believe that there's probably some level of just delay of submitted claims. And so we thought it would be prudent to increase our IBNR fairly significantly. We quoted $20 million in the quarter to try to take into account the fact that some of the claims that might already otherwise been submitted in the current quarter will be submitted in a future quarter. But I'd say there's still a lot of uncertainty there.
Tom Gallagher: Thanks. And then final question, just statutory earnings were quite strong, GAAP earnings were softer. Can you comment at all why there was that kind of disconnect, was it really just the sales strain differential or was something else driving the differential between the two?
Steve Zabel: Yes, I think, that's probably one of the bigger items. That was just the strain on new business. You do have that differential. And there's obviously some puts and takes in statutory accounting versus GAAP accounting, but I would say that's a pretty large contributor to it.
Tom Gallagher: Okay. Thanks.
Rick McKenney: Thanks, Tom.
Operator: Thank you. We'll take our next question from Andrew Kligerman of Credit Suisse.
Andrew Kligerman: Great. Thank you. Good morning. Back on the persistency question, and more specifically, to Colonial Life. I think if I get it right, roughly two thirds of the businesses in cases of under 500 lives with an average case size of 100 to 150, so that would be the more vulnerable area. So to get a better feel for the persistency, I'd be interested to know what – do you tally a mix of the sectors that you are in, are you in food services, are you in retail, entertainment? And maybe you could give us some percentages because from where I sit, maybe that might be helpful to get a read into how persistency might play out over the next six to 12 months.
Rick McKenney: Great. Tim can you give us some insight there?
Tim Arnold: Yes, absolutely. Thanks Andrew for the question. So maybe it'd be best to start with a little broader context around the voluntary benefits businesses, and I'll get to your specific question Andrew. So the challenges of the second quarter have not changed our view about the long-term market opportunity for voluntary benefits, the need for simple, affordable financial services products for America's workers and their families has always been great, it's been amplified in the current environment. And we think having two brands serving different segments of the market with really strong market share, and brands, and capabilities is going to give us leverage in the future. We're reaching the market through traditional distribution methods, but we're also supplementing our teams with digital tools to help them reach and serve customers in new ways. And so we have a cause for optimism, despite the challenges of the second quarter. With respect to your specific question, we have very little business in retail and leisure entertainment. We're fortunate that a significant share of our business at Colonial Life is in public sector. And public sector has the highest persistency of any segment. Think about schools and municipalities where layoffs are just not very common. So we could break it down a little bit more for you offline, but we like the mix of business we have in the industry segments we're in.
Andrew Kligerman: That was very helpful. Thank you. And then on the group disability in Unum US, we thought, I think, it was 72.8% loss ratio. And that compared with, I think, it was 74.7% in the year ago quarter. And you cited favorable claim recoveries despite higher incidence rates. And it's improved pretty nicely in the recent [indiscernible] since over the last few years. So I'm wondering is sub-73% a good target even in this COVID-19-oriented environment? Could we see that pickup in the second half, but then longer term would that be the right kind of normalized ratio?
Tim Arnold: Yes, maybe I'll take that one too. I would say you captured the dynamics of the quarter, so a little bit of upward pressure on submitted incidence, but as Steve noted actually paid incidence was pretty consistent with prior periods. Recovery is very strong as well as offsets was good to see. So it is a credit to a very strong and tenured group of disability benefit professionals, the clinicians and the vocational experts that they work with every day. So it is good to see that continued consistency and outcomes in getting people back to work. In terms of the specific question, I mean, I think, there was some favorability in the loss ratio that may repeat, but may not. And Steve hit it around the fully insured short term disability, a lot of the elective surgeries and other sort of non-critical procedures got pushed in the quarter that would yield at a pretty favorable short term disability, fully insured. Benefit ratios of that may be – I would expect that would normalize as some of those are now being scheduled here in the third quarter. So I think consistency, but probably a bit of favorability here in the second quarter.
Andrew Kligerman: Got it. So 73 seems like a good longer term ratio in your view, without the noise that we may see in the second half of the year.
Tim Arnold: Yes, 73, 74 probably is a good number.
Andrew Kligerman: Got it. Thank you.
Rick McKenney: Thanks Andrew.
Operator: Thank you. We'll take our next question from Mark Hughes of SunTrust.
Mark Hughes: Yes, thank you. Good morning. Any update you can provide on the needs for capital, just what contributions will be for supporting ongoing business? Any updated numbers on how much it will contribute for the extra LTC reserves? 
Steve Zabel: Yes, great, Mark thanks for the question. This is Steve, I'll take that one. So just to kind of back up and think about our capital position and how we're thinking about capital deployment for the remainder of the year, right now, RBC levels are right around 370, holding company cash is a $1.6 billion. And so if you think about the remainder of the year, probably a good model to use would be we have a maturity coming up in the third quarter, so that's $400 million of maturity that we'll fund out of holdco cash. We'll continue to pull dividends out of the operating subsidiaries. And we have our fixed costs that we have to cover, whether it's interest or dividends. And then we do have contributions that we make throughout the year to both our New York entity, as well as fairwind. We've discussed in the past that we were anticipating about a $400 million kind of base rate contribution that was going to grade down to $200 million over the next couple years. And then we did have our examination of finding from Maine. And we estimated that, that would require a reserve strengthening between $200 million and $250 million. This year we still feel pretty good about that level. I'll remind you though that the capital contribution necessary for that will be on an after tax basis. The other thing that I would say is, as you saw on a GAAP basis, our LTC results were very good, that did flow through to the results we saw in fairwind just on an ongoing operating basis. So you kind of put that all together and we still feel like the full year capital contributions are still in that $550 million to $600 million range. I would note that we do make contributions throughout the year. And through the end of the second quarter, we've already made around $150 million of capital contributions that would already be reflected in our June 30 capital metrics. So we have about $450 million on an estimated basis for the remainder of the year. So well within our capital plan and we still feel very good based on what we know now that we'll be able to hit risk based capital targets, holding company cash targets by the end of the year.
Mark Hughes: And then in the Closed Block Disability, it doesn't sound like it was affected by mortality this quarter. Should it be if mortality continues to be elevated, should that be a possible benefit?
Steve Zabel: Yes, it's an interesting question. And as we look across all of our product lines, clearly we saw mortality increases in many of our product lines, as you would anticipate. There were two, being our Closed Block Disability, claim block and also our long-term care active life block where we did not see elevated mortality. And you can think of a lot of hypothesis, why might be. None of them we would be able to confirm. But what we would say is for those parts specific populations, we have not seen elevated mortality, and frankly, are not really forecasting that right now that we would. We'll have to continue to monitor that. And we'll adjust kind of our expectations as we see that play out.
Mark Hughes: And then a question just your view of the competitive environment within the group sales area?
Mike Simonds: Yes it's Mike, I'll take that one. So actually, I would say second quarter was relatively quiet on that front. And I think that was because employers were sorting, transitioning to work-from-home and dealing with the pandemic. So the number of quotes in the marketplace slowed down. And I would say carriers were very focused on taking care of existing clients and transitioning their own workforces. So how that plays out over the balance of the year, is a little bit of a wait and see. We would expect and have begun to see activity levels improve really each week since we've hit kind of the middle of the second quarter and would hope and expect that that will continue through whether carriers look to make up for sort of a very slow first half from a sales perspective, I couldn't really speculate. I would just say that we're going to remain very disciplined in our approach. Our strategy has always been the same, which is to price and underwrite business with a long term in mind. I think our clients very much value consistency in pricing. So it's a net good thing to see activity beginning to really pick up back into market. That's going to take some time to recover fully. The competitive environment actually has been quiet, but we'll see how it plays out over the balance of the year.
Mark Hughes: Thank you.
Rick McKenney: Thanks, Mark.
Operator: Thank you. We'll take our next question from Suneet Kamath of Citi.
Suneet Kamath: Thanks. Good morning. Just on Colonial Life and the drop in sales due to a lower face-to-face, how quickly can you migrate to more of a virtual sales model in that channel? Do you have to make some incremental investments or do you have those capabilities already and you just need the agents to sort of embrace them?
Rick McKenney: Tim you want to take that?
Tim Arnold: Yes, Suneet thanks for the question. So about three years ago we began to build digital tools that would be necessary for our agents to be successful and more importantly, perhaps for our employer, customers and consumers to interact with us digitally. So we have a full portfolio of visual tools that enable us to be successful across the entire cycle. We didn't see adoption rates quite as strong as we would have hoped with some of those tools until COVID. So if you think about a silver lining to a very dark cloud, this is one of those places. We've seen extremely strong adoption of digital tools that have been in place over the last few weeks and over the last couple of months. We're very encouraged with many of our leading indicators right now. We think as long as economic environment continues to improve, we're going to see continued improvement in our sales results and partially because of the digital tools we have in place, but we also believe that post-COVID there will continue to be a place for, in person face-to-face enrollments, and that may be done by video or perhaps even across the table from each other. So we like the fact that we believe that traditional models are going to continue to serve us well, but we're supplementing that with a full portfolio of visual tools that will enable our agents to be successful. And we've seen very strong results in recruiting. And we think a big part of that has to do with the fact that we can show new prospects, these digital tools that we have to help them be confident, they can be successful. We've had good success with agent retention so far. We've lost about 9% of our agents, but that's not terribly unusual. So we're encouraged by agent recruiting and retention as well. And we believe we've got the toolkit necessary to help people be successful long-term.
Suneet Kamath: Okay, thanks. And then just quickly on long-term care, if we do end up seeing a pretty significant shift in terms of folks not wanting to go to nursing homes and preferring to have in home care, does that have any dramatic impact on the assumptions that are underlying your current long-term care reserves? Are you fairly agnostic in terms of where people decide to get the long-term care?
Steve Zabel: Yes, this is Steve. Probably a couple of things to think about. First of all, we set our assumptions based on longer-term experience. So we would have to see that play out over a longer period of time, not just through several quarters types of experience. So that's one. Two, I would say, on the fringes, home health care is cheaper and how our policies are structured their indemnity. So it's just a fixed cost per day. But the cost – the benefit that we provide is lower in most situations for a home care situation versus a facility. So on the edges of the average size of the claim maybe lower. But we have to see that play out over a longer period of time before we would make any changes to our assumptions for that. 
Suneet Kamath: Okay. And then maybe just one quick follow-up on long-term care, Steve if I could. You've given a stat on how much progress you've made in terms of the price increases. And I forget what that comparable number was last quarter. But just any color in terms of if the impact of COVID is impacting the ability to get those rate increases, if regulators are focused other issues, that kind of stuff?
Steve Zabel: Yes, so as far as the progress, but I forget the exact number, but I think it was 60%, maybe 61% last quarter progress. So, we have moved the needle up to 65% of the target. Just from a regulatory environment, we're still very optimistic both from a process perspective, the states they're working from home or they've transitioned to kind of their new protocols. So we haven't really seen much of a slowdown there as far as them processing and just more from kind of a commissioner perspective and their desire to approve these rate increases, again have not really seen a slow down on that. We still feel good about the progress we're making. So, maybe that’s something we'll continue to monitor.
Suneet Kamath: Got it. Thanks, Steve.
Steve Zabel: Yes, thank you.
Tom White: Actually we're going to take one more question. We're at the top of the hour. So one more question.
Operator: Thank you. We'll take our next question from Erik Bass of Autonomous Research.
Erik Bass: Hi, thank you. Thanks for squeezing me in. Could you just talk a little bit more about your expectations for premium growth in Unum US and Colonial, given the current sales trends, the trends you are talking about in persistency and unemployment levels?
Mike Simonds: Yes, sure Erik it’s Mike. I think after the first quarter we sort of looked at it and said more or less a flattish premium year. And I'd say having come through the second quarter, we're in a similar place, I'd say, we talked a little bit about the persistency trends. So kind of watching closely and working with clients to keep as much premium in force as they are experiencing some economic difficulty, that's one of the variables. The second variable is really less so for premium growth for the year, but more of the trajectory into 2021 is the sales that we have. And, the way – to maybe think about it on the group insurance side is the pipeline of activity really slowed in the second quarter like we talked about, I suspect that's going to show up as pressure and reported sales in the third quarter. But third quarter is a very small sales quarter for us anyway, traditionally. And really all our focus with our field teams and underwriting and plant management teams is building the inventory for fourth quarter sales. That's traditionally our most important quarter for us. And that's where the January 1 effective fall. So that's probably the other big variable is how quickly our market is recovering, people getting back to a little bit more adjusting to the new normal. We are seeing activity increase week over week, which is good, but that's really the other second important variable is what can we do in the fourth quarter for new business.
Erik Bass: Got it. And then on that note, I mean, how are you preparing for the 2021 enrollment process? And do you expect to see any material differences in either sponsor or participant behavior?
Mike Simonds: Yes, I think Tim hit it really well. I mean, so the silver lining here is the digital adoption. So we are seeing that pick up very rapidly. And again, don't see that as planning face-to-face ultimately on the other side of COVID, we really see it as augmenting our reach into clients and into situations where digital just makes a lot more sense. So it is a challenge, there's no doubt about it, pivoting as quickly as we've had to pivot. But I will say there is a good offset, and that is what Rick hit at the opening, which is where we are getting in front of folks digitally or in person, our participation rates at the consumer levels are holding to improve from what we have seen. And I do think that's reflective of the fragile state of the average consumer when it comes to financial protection, it is just front and center for folks. So I think there is some reasons for optimism there.
Erik Bass: Great. And thanks Mike. 
Mike Simonds: Yes.
Rick McKenney: Yes, thank you Erik. And I'd like to thank you all for taking the time to join us this morning. Please do stay safe and healthy. Jonathan, this now completes our second quarter 2020 earnings call.
Operator: Thank you. Ladies and gentlemen, at this time this concludes today's conference. You may now disconnect.